Operator: Good morning, ladies and gentlemen. Welcome to the BCE Q1 2025 Results Conference Call. I would now like to turn the meeting over to Mr. Richard Bengian. Please go ahead Mr. Bengian.
Richard Bengian: Thank you. Matthew. Good morning, everyone and thank you for joining our call. With me here today are Mirko Bibic, BCE's President and CEO, and our CFO, Curtis Millen. You can find all our Q1 disclosure documents on the Investor Relations page of the bce.ca website, which we posted earlier this morning. We have a lot of material to get through on this call. However, before we begin, I would like to draw your attention to our safe harbor statement on Slide 2, reminding you that today's slide presentation and remarks made during the call will include forward-looking information and therefore are subject to risks and uncertainties. Results could differ materially. We disclaim any obligation to update forward-looking statements except as required by law. Please refer to our publicly filed documents for more details on assumptions and risks. With that out of the way, I'll turn the call over to Mirko.
Mirko Bibic: Thank you, Richard, and good morning, everyone. I shared in February our strategic and operational roadmap that will guide our actions for 2025 and beyond, focusing on our customers and on creating value for shareholders. We have a clear strategy for growth and that's anchored in four key priority areas. Putting the customers first, providing the best internet and wireless networks and services, unlocking potential for businesses with technology solutions and building a digital and media content powerhouse. Moreover, we will continue to modernize and simplify how we do business and how we operate. And before providing an update on our progress against each of these, I want to call out two key and very material developments. This morning, we announced a major partnership with PSP Investments, one of Canada's largest pension investment managers. With approximately $265 billion in net assets. PSP is an extremely experienced telecom investor. It will be helping us fund the expansion of our U.S. business, which could see a commitment in excess of $1.5 billion. This will significantly de risk our future funding requirements and bring support for our U.S. Fiber growth strategy while still allowing us to proceed with our deleveraging plans. I'll describe our partnership in more detail in just a few minutes. Secondly, given the significant changes in our economic and operating environments that have occurred since the fall of 2024, our board has established the annualized dividend per BCE common share at $1.75 per share from $3.99 per share. This change will be effective with the July dividend payment. This will help us achieve more quickly our near-term deleveraging target of 3.5 times adjusted EBITDA by the end of 2027, as well as our longer-term target of 3.0 times. Both of these developments are consistent with our strategy to optimize the balance sheet, invest for growth and enhance total shareholder returns. Now onto the four priorities. As you see on Slide 4, we're putting customers first as our top priority. Earlier this year we became the first Canadian Telecom company to name a dedicated Chief Customer Experience Officer. Since taking on this role, Hadeer Hassaan has been hard at work on improving the entire customer experience and that's grounded in four key commitments that define service excellence from a customer's point of view and our path towards making it easy to do business with Bell. Our objective is to put our customers at the heart of every interaction with us. We know their time is valuable. That's why we're prioritizing self-serve tools to help customers get the support they need whenever they need it, including 24/7 AI powered virtual assistants while keeping our phone lines free for more complex cases or people who prefer to speak to someone directly. We've also introduced a new intuitive digital bill and we're improving the tools available to our representatives so that no matter how customers interact with us, our team has access to the same up to date information. And because we know that life does not wait, we're enhancing our callback experience so that our team can follow up without customers having to sit on hold. This approach will materially improve customer satisfaction, churn and ultimately customer lifetime value and financial performance. Turning to Slide 5 now, the next key priority is to provide the best Fiber and the best 5G networks. Internet and wireless, as you all know, are our largest businesses and most important revenue drivers. We've made significant investments over the past several years in Fiber and 5G which continue to receive third party recognition for delivering the fastest download and upload speeds, lowest latency, robust security and standout reliability and resiliency. Now over to Slide 6. I know I say this often, but I'm going to say it again. Fiber is the future. It's clearly the superior technology and customers know it. Fiber gives us a sustainable advantage that will last for decades. Since 2020 when we made the decision to accelerate Fiber deployment, we've increased our total footprint by more than 50%. We have the largest Fiber footprint in Canada at more than 7.8 million households and business locations, and it's clear that our strategic investment is paying off. We more than doubled our Internet customer base on Fiber to three million, and over 60% of these customers are taking gigabit plus speeds. We doubled our Fiber revenue over the same period. Where we have Fiber, our market share has grown 18% to 48%. Where we've had Fiber for a longer time, our market share is above 50%. And if you look at our numbers quarter-after-quarter, we consistently capture the majority of new broadband additions with Fiber. Moreover, where we have Fiber, our mobility and internet bundled sales continue to grow and now comprise more than 50% of our total residential households. Our residential Fiber penetration rate is approximately 44% across our entire footprint. That's a blended figure that comprises older tenured and more recently deployed markets. In our oldest tenured markets, penetration is at 50% or higher. In our experience, the average penetration rate in new Fiber footprint reaches 45% by the third year after deployment. And since we've built more than 1.9 million new Fiber locations in the last three years, many of our markets are lower on the penetration curve. All of that to say, lots of room to grow. The bottom line is this. Our commitment to Fiber is at the core of our strategy and where we have Fiber, we win. Turning to the U.S. Fiber market now on Slide 7. The U.S. is a natural expansion market for BCE where we can leverage our deep expertise in building Fiber infrastructure. As a reminder to investors, let me briefly outline the reasons why the U.S. Fiber market is so attractive. U.S. Fiber deployment lags behind Canada. Only 51% of homes in the U.S. have Fiber, compared to 75% here in Canada. Fiber penetration also lags. Competitive dynamics are favorable given a largely two player market driven by retail competition with no mandated wholesale access to Fiber, the market structure is even more attractive for Ziply. Household income and economic growth across its four states in the Pacific Northwest is above the national average. There are one or fewer gigabit capable competitors in 93% of Ziply Fiber's operating footprint, no multi gig capable competitors and relatively less overbuilding activity in the Pacific Northwest than in some other U.S. regions. The U.S. has attractive Fiber economics with a low cost to build and strong ARPU growth. Importantly, like in Canada, U.S. customers are choosing Fiber. Which brings me to our acquisition of Ziply on Slide 8. Ziply is delivering consistently strong results with EBITDA growing an impressive 17% in 2024 powered by Fiber. This growth rate is even greater than planned, which is a testament to the Ziply management team's execution excellence. Management's demonstrated ability to execute will become even more valuable as the Fiber footprint expands. Ziply's more mature tenured markets have already reached 40% penetration. That compares with an average penetration rate of 23% in locations built in the last few years. So we're getting in at a very opportune time where there's still meaningful growth ahead of that penetration. Particularly when you consider that over 40% of Fiber locations were built in the last four years, with more to come. 85% of Ziply's approximately 400,000 retail subscribers are on pure Fiber service. Ziply also benefits from a favorable operating mix with over 70% of total revenues from consumer and SMB and with a robust enterprise and wholesale business also built on the back of Fiber. The acquisition is on track to close in the second half of 2025. It's an important part of our plan to generate sustained top line and EBITDA growth. Now let's move to Slide 9. We previously said we'd be open to working with third parties to help fund our Fiber growth in the U.S. as we look to strengthen our balance sheet, diversify revenue streams and improve free cash flow. There's been strong interest amongst financial partners to join us in capturing the significant growth opportunity given the power of Ziply's assets and strong track record of its management team and BCE's experience and success with Fiber. As mentioned, we're very pleased to announce the long-term strategic partnership with PSP Investments through their infrastructure portfolio to build new Fiber locations in the U.S. and support Ziply's footprint expansion. BCE through Ziply will retain a 49% equity stake in the partnership with PSP owning 51%. PSP has been an investor in Ziply and knows the management team well. To be clear, and this is important, BCE will own 100% of Ziply's existing operations, subscribers and financials. Ziply as a BCE subsidiary will continue its Fiber expansion within its remaining copper footprint. Ziply will also retain all retail customer relationships associated with the incremental Fiber locations to be built by the Strategic Partnership. What the partnership will be focused on is building last mile Fiber in Ziply's growth markets. This includes the near-term development of approximately one million Fiber passings in Ziply's existing states with the ability to expand to six million Fiber locations longer term, this will enable Ziply to eventually reach up to eight million total Fiber locations, an increase from its original target of three million. The strategic partnership structure is a cost effective and capital efficient way to fund our U.S. Fiber growth while still meeting our deleveraging targets and I'll detail that momentarily. Now let's move to slide 10. This long-term partnership provides clarity on our U.S. Fiber ambitions. Ziply's ILEC footprint covers approximately two million customer premises. Upon closing of the acquisition, Fiber will already be available to approximately 1.5 million of these locations. The remaining 500,000 locations will be built and owned by Ziply over the coming years as part of ziply's existing in footprint Fiber build strategy. And as I mentioned, the Partnership has long term visibility into as many as six million additional locations outside of Ziply's two million location ILEC footprint. The Partnership unlocks our ability to capture this significant additional footprint and related financial benefits. So, when you combine our eight million locations in Canada that have Fiber this year our U.S. Fiber assets will grow BCE's position as North America's third largest Fiber Internet provider with access to approximately 16 million total passings. There's clearly long-term growth potential in this critical space. Turning now to Slide 11 to wrap up on the U.S. Fiber. The PSP Strategic Partnership is an exciting announcement for BCE and for our shareholders. It allows us again to support the Fiber expansion in a cost-efficient manner while optimizing the balance sheet and improving our free cash flow profile. Through this endeavor, Ziply will retain the retail economics of its existing and future customer relationships in the Fiber footprint to be deployed by the Partnership and this will improve BCE's revenue and EBITDA growth profiles. BCE and PSP will proportionately fund any equity needed by the Partnership as required over time, this significantly reduces the capital investment by BCE and improves BCE free cash flow by over $1 billion over the 2026-2028 time period. The Partnership will also have its own non-recourse debt financing which is anticipated to be the majority of its capital. Over time this further reduces BCE's cash funding requirement. The Partnership will be deconsolidated with all CapEx and debt financing remaining off BCE's balance sheet. This structure and attractive cost of capital will improve our expected returns in the U.S. We're estimating an all-in rate of return in the U.S. of 20% or higher. So now let me turn to the next element of our strategic roadmap and that's on Slide 12. Our third priority is to unlock the potential of businesses with the best technology solutions and we've set an ambitious goal which I've shared before; to generate a billion dollars in revenue by 2030 and we're well on our way. And just two days ago we launched Ateko. It's an all-new Montreal headquarter technology solutions provider and Ateko brings together under the same banner the tech startups we've recently acquired, which are FX Innovation, CloudKettle and HGC Technologies. Its competitive differentiators uniquely position it to deliver better outcomes for enterprise customers. Ateko's team of workflow automation experts will draw on their experience in the world's largest hyperscalers and automation platforms like AWS, Azure, Google Cloud, Salesforce and ServiceNow to help customers streamline their operations, improve automation, enhance customer experience and facilitate data driven decision making. We've created a one stop shop for businesses, networking and technology solutions needs. Ateko's capabilities position us to achieve significant growth in the enterprise space. I'll now move to Slide 13. The fourth key area of focus is to build a digital media and content powerhouse. Our digital pivot in media is bearing fruit after a lot of hard work and finally focused investments. Digital advertising is expected to have a total addressable market of $22 billion in Canada in 2028, up from 16 billion in 2024. As we continue to capture more share of that digital advertising market, profitable growth lies ahead for Bell Media. Our priorities in digital media and content are the following; grow crave from four million subscribers today to six million by 2028. Maintain sports leadership through the best breadth of content, accelerating conversion to digital inventory and a focus on extending content value and monetization. This is already being realized with Bell Media's acquisition of a majority stake of global content distributor Sphere Abacus. This move expands Bell Media's content distribution opportunities. Let me touch briefly now on the fifth key pillar on Slide 14. As I outlined in February, we have an extensive transformation program in place to modernize and simplify how we do business. We started this transformation in 2022 and it's already delivered $500 million in savings. At the time I stated that we had $500 million more to go through 2028 to achieve our goal of a billion dollars in cost savings. Given our transformation momentum to date, we've upsized that objective by an additional $500 million for a new goal of $1.5 billion in total cost savings by the end of 2028. I'll now turn to our capital allocation strategy on Slide 15. We're navigating a complex operating environment which has evolved significantly since the fall of 2024. In February of this year, we laid out a clear roadmap to adapt to this evolving environment and I've kind of expanded on it today. Core to this plan is our capital allocation strategy. Strengthening the balance sheet, investing for growth and driving total returns are the key priorities. Let me share the meaningful progress we've made over the last few months beginning with optimizing our balance sheet. In February and March, we successfully accessed the hybrid debt markets in the U.S. and Canada, raising the Canadian equivalent of approximately $4.4 billion in our first hybrid notes offerings in each market. Given the 50% equity treatment afforded by the credit rating agencies, this has meaningfully improved our leverage ratio. Consistent with our deleveraging plans, we repurchased several bonds trading at a discount to par value, reducing the amount of debt. These actions have collectively lowered our net debt leverage ratio by approximately 0.3 times since Q4, bringing it to approximately 3.6 times adjusted EBITDA. Given BCE's healthy balance sheet and business mix, we are best in class from a credit ratings perspective in Canadian Telecom. In addition, our review of non-core assets continues to advance. The previously announced divestitures of Northwestel and MLSE are progressing as expected and we've launched two processes for additional divestitures. Proceeds from any new sale will support our deleveraging efforts. The acquisition funding for Ziply is leverage neutral and we structured the transaction in a way that balances growth with financial discipline. I've explained that in detail in the earlier sections on the U.S. Bottom line is the partnership will enable us to better capture the significant upside of Fiber expansion, unlocking incremental cash flow to support deleveraging at the BCE level, and it complements our broader efforts to strengthen the balance sheet. And as I mentioned earlier, we're already seeing ziply outperform expectations. In fact, since we announced the acquisition in November, the Transaction multiple of 14.3 times estimated 2025 adjusted EBITDA is now already closer to 13 times. The Ziply team is driving very strong customer acquisition and penetration on its Fiber metrics, and the metrics will get even better as we go forward as we capture the incremental synergies and growth opportunity from the PSP partnership. Now, the second component of our capital allocation strategy is investing for growth. Our approach remains grounded in those strategic pillars I've outlined previously and we'll continue to execute on them with precision. The investments are designed to position us for sustained success in an evolving market, ensuring we remain an industry leader. And the third aspect of our strategy is delivering value to shareholders. The focus is on maintaining a resilient and sustainable dividend, achieving leverage ratio targets and greater flexibility as we drive total shareholder returns. And that brings me to Slide 16 and our dividend announcement this morning, which encompasses all three components of our capital allocation strategy. We spent considerable time with our shareholders discussing their perspectives and carefully evaluating our operating landscape. We must address a number of significant changes in our economic and operating environments that have occurred since the fall of 2024. As I've mentioned, today's actions will allow us to deftly navigate through this cycle. Considering these factors, we've made the appropriate decision to adjust our dividend. The annualized dividend per BCE common share will be established at $1.75 per year effective with the Q2 dividend payment. Even with the adjustment of the to the dividend, we continue to provide an attractive yield that is among the highest on the TSX 60. Additionally, we're updating our long-term common share dividend payout policy to target a payout range of 40% to 55% of free cash flow. This policy range provides us with more flexibility for deleveraging. To make it easier for investors to consider the effects of capital leases on our cash flow, we will begin to also disclose our free cash flow after capital lease repayments going forward. In addition, we will provide on an annual basis the implied dividend payout ratio on the basis of free cash flow after cap lease repayments along with the payout ratio based on our policy. The adjusted dividend will support our deleveraging efforts while providing enhanced flexibility and positions us as a resilient dividend paying company. By the end of 2027, we expect to achieve a net debt leverage ratio of approximately 3.5 times adjusted EBITDA pro forma Ziply with a longer-term goal of approaching three times by 2030. We will also eliminate the treasury discount feature of the DRP effective with the Q2 dividend payment on July 15. These decisions are the right ones for the long-term health of BCE and the long-term interests of our shareholders. As we look to the future, I want to reiterate our unwavering focus on disciplined execution, financial resilience and value creation. The steps we've taken this quarter demonstrate our ability to adapt and deliver in a challenging environment. And with that, I'll turn the call over to Curtis.
Curtis Millen: Thank you, Mirko, and good morning, everyone. I'll begin on Slide 18 with BCE. Adjusted EBITDA was essentially stable while margin improved 40 points on the back of a 2.1% reduction in operating costs. Total revenue was down 1.3%. This can be largely attributed to a 7.4% decrease in low margin product sales which included the loss of revenue from the source store closures in 2024 and conversions to Best Buy Express. Our service revenue result reflected the flow through impact of sustained competitive pricing pressures over the past year and ongoing declines in legacy voice, data and satellite TV services. Net earnings were up nearly 50% in Q1. The increase was due mainly to early debt redemption gains related to the repurchase. Excuse me, of certain bonds trading at a discount to par value. Nothing notable on adjusted EPS consistent with our 2025 guidance assumptions for interest and depreciation expense and a higher average number of shares outstanding because of the discounted treasury drip. It was down $0.03 compared to last year. CapEx was down $273 million this quarter. We remain on track to reduce capital investment by $500 million in 2025 in-line with our plan. The CapEx reduction, lower cash taxes and higher cash from working capital drove a $713 million year-over-year increase in Q1 free cash flow. Turning to Bell CTS on Slide 19. Starting with a high-level summary of Q1 subscriber metrics. Retail Internet net adds of 9.5 thousand were down versus an exceptionally strong Q1 last year. In addition to slowing industry growth due to fewer newcomers and less new Fiber footprint expansion, our results this quarter reflected our consistent strategy to balance subscriber growth with financial performance. Importantly, customers continue to choose Fiber because we offer a superior product with a symmetrical speed advantage over cable. Where we have Fiber, our subscriber loadings and market share gains remain strong. Our Fiber-to-the-Home customer base now accounts for 68% of our total retail Internet subscriber base. Moving to wireless. We recorded a small net loss in total mobile phone subs in Q1 compared to 25,000 net adds last year. This was a function of a 7.7% decrease in gross actuations, reflecting a slower market. However, consistent with our operating strategy to focus on margin-accretive subscriber acquisition, we gained 25,000 net new customers on the main Bell brand. Notably, postpaid churn remained stable in Q1 following nine consecutive quarters of year-over-year increases. While it remains higher than we'd like, we're pleased with the improving trajectory. Managing our churn will continue to be a top priority. Mobile phone ARPU was down 1.8%. This represents a second straight quarter of improvement in the year-over-year rate of decline. Our ARPU result this quarter reflects a sustained competitive pricing pressure and lower roaming due in part to decreased travel to the U.S. Moving to Bell CTS financials. Internet revenue was up 2.4%. Solid results shown we're striking the right balance between sub growth and disciplined pricing. We also saw continued strength in Business Solutions, where revenue grew 8% over last year. This was driven by higher sales of Technology Solutions as well as acquisitions made over the past year. Wireless service revenue was down 1.8%. This is a notable improvement from the 1.5% decline in Q4. We expect the rate of decline will continue to improve going forward as ARPU improves. However, the industry will continue to feel the impacts of the pricing levels in market over the last 12 months for a while longer. Wireless product revenue was down $60 million this quarter, the year-over-year decline was the result of lower sales of mobile devices to large enterprise customers in the government sector as well as the loss of revenue from the source store closures in '24 and conversions to Best Buy Express. Our EBITDA result was in-line with flying. Notably, margin increased 20 points over last year to 45.7%. It's a direct result of our significant and ongoing focus on cost management. as evidenced by a 2.7% reduction in operating costs this quarter. Turning over to Bell Media on Slide 20. Continued digital momentum and strong overall financial performance marked by a fourth consecutive quarter of revenue and EBITDA growth. Digital revenues were up 12%. This was mainly on the back of strong Crave D2C streaming growth which drove a 22% increase in Crave subscribers to $3.8 million. Notably, direct-to-consumer streaming subscriptions now comprise the majority of total crave subscribers. Total advertising revenue increased for a fifth straight quarter on the strength of digital, live sports and events, increased spending related to the federal election and the contribution of out edge media. Subscriber revenue growth of 7.8% was driven by continued direct-to-consumer Crave and sports streaming growth. Media EBITDA was up 35.9% and driving a substantial 4.4-point increase in margin to 20.5%, really a nice performance by media by growing revenue, EBITDA and margins. Turning to Slide 21. Our balance sheet is very healthy with $4.7 billion of available liquidity and pension solvency surplus is totaling $3.8 billion at the end of Q1. We ended Q1 with a net debt leverage ratio of above 3.6 times adjusted EBITDA compared to 3.8 times at the end of Q4. The decrease can be attributed to the combined impact of $4.4 billion in hybrid notes offerings issued in advance of the Ziply Fiber transaction and repurchases of bonds trading at a discount to principal value. We are highly focused on deleveraging our balance sheet, with the execution of our plan toward a net debt leverage ratio of approximately 3.5 times adjusted EBITDA by the end of 2027. The plan includes substantial free cash flow generation, divestiture of noncore assets, and applying incremental retained cash resulting from the revised dividend level for paying down debt. Our updated dividend payout policy of 40% to 55% of free cash flow is reflective of a balanced approach to capital allocation. This policy range allows us to fund our capital allocation priorities, which are to optimize the balance sheet, invest for growth and return capital to shareholders. To wrap up on Slide 22. We remain confident in our proven ability to deliver under any circumstances, backed by the best networks and services. Our ongoing business transformation, consistent operational execution and cost discipline. We're laser focused on the key strategic priorities that Mirko outlined to create long-term value for shareholders. I'd also notice that I am reconfirming our financial guidance targets for 2025 and with the annualized common dividend at $1.75 per share. I will now turn the call back over to Richard and the operator to begin Q&A.
Richard Bengian: Thanks Curtis. Before we start, I want to remind everyone that due to time constraints this morning because of our EDM that is taking place after this call to please limit yourselves to one question and a brief follow-up so that we can get to as many in the queue as possible. With that, Matthew, we are ready to take our first question.
Operator: Thank you. The first question is from Maher Yaghi from Scotiabank. Please go ahead.
Maher Yaghi: Great. Thank you for taking my question. Never easy decisions when companies decide to cut the dividend, but doing it for the right reasons, I think it's very good. I wanted to ask you, in terms of your leverage targets that you mentioned in your prepared remarks and in your presentation, do they include any asset sales that have not been announced yet? And just a follow-up in terms of wireless. When we look at gross loading in the environment that you're operating in, do you think that Q1 was an aberrant quarter? Or this is more the environment that you're going to be probably in for the rest of the year?
Curtis Millen: Thanks for the question, Maher. In terms of the leverage target, so our plan remains as we announced a couple of months ago to sell the $7 billion in assets. That includes MLSE, Northwest Hall and a couple of other processes that we have on the go. So, it basically factors in what we announced last quarter.
Mirko Bibic: Thanks for the question, Maher, it's Mirko. On the wireless question, I give you may be a bit of a broader answer basically to answer a very specific question, but more context. I would say that if you looked at early on in Q1. We were seeing some pricing stability green shoots. I think in the back half of Q1, there was a reversion to kind of frothy pricing activity across the industry. So you see from that, the overall industry loadings including ours are affected by the macro environment as well, including the clamp down on immigration and then there's the kind of impact of pricing. So if you put the two together, we decided not to go after non-accretive loadings. So what -- the numbers behind the numbers is that we had pretty strong performance on the Bell brand again. And we had strong performance on cross-sell and our wireless product margins remained positive. So I think now to end -- that's the context for Q1, not to answer your specific question. as we look into Q2 and the progress so far, we see the metrics trending in the right direction for sure. And we see ARPU decline improvement. We're seeing churn improvement. Our sales were we're okay in Q1. And as we improve churn, I think that we're going to deliver what investors are expecting.
Maher Yaghi: Thank you.
Operator: Thank you. Our next question is from Drew McReynolds from RBC. Please go ahead.
Drew McReynolds: Yes. Thanks very much. Good morning. I guess, first on the 2025 reiteration of guidance. Mirko, you're being able to talk about Q2. And I understand visibility is not great. Just want to get a sense of the working assumptions in terms of reiterating guidance with respect to the competitive environment in macro. We're just trying to assess I guess, your degree of confidence in keeping within your existing guidance range? And then my follow-up just on the target 3.5 times leverage for 2027, so great, obviously, to get a target out there. Simplistically, if I kind of run that through my forecast, including kind of the noncore asset sales that you've announced, the aggregate $7 billion. I get the leverage by 2027, that's just a little 0.2 times, 0.3 times lower than 3.5 times. So, I'm just trying to figure out if there's anything else here, whether it's EBITDA growth or higher kind of CapEx investment, given the announcement this morning, just any other big picture puts and takes that may help reconcile that? And if I need to take that offline with Curtis, that's great.
Curtis Millen: Yes. Drew, thanks for the question. Yes. We delevered in Q1 as we issued the hybrids. I thought it was a good idea to issue hybrids to delever given the kind of uncertainty in the market. So once we close Ziply leverage would go back up, given we're assuming simply Fiber debt as well. And going forward, as you say, free cash flow growth, asset sales, then you made a comment about funding needs. The funding needs at the partnership actually quite limited given our partnership with PSP and the ability to lever at the partnership level. So as Mirko said, the partnership by itself actually improves our free cash flow by over $1 billion in the first three years. So all of that will lead us to better free cash flow and deleveraging.
Mirko Bibic: On the first question, Drew, it's Mirko, just in terms of the reconfirming of guidance. If you go back to February and when we provided guidance for the year, that's why we had a view of what the year would look like. And therefore, we put the ranges in place that we did kind of with a fairly relative terms fairly wide range on either end to acknowledge the environment that we thought we would be in. So, we're in a position to reconfirm that guidance today.
Drew McReynolds: Thank you.
Operator: Thank you. Our next question is from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini: Thanks very much. First, just to clarify on guidance as well. $300 million gain on the bond redemptions that helped your free cash flow in the first quarter, but you've not changed the guidance. Should you be at least trending to the high end of that free cash flow guidance given that boost, which I'm pretty sure you didn't expect when you gave us the guidance originally in February. And then on the Ziply joint venture, can you just confirm you would be the exclusive retail partner on the network Fiber Co and the extra six million homes, is that all planned construction? Or could some of that be buying existing assets in combination with CapEx? Thank you.
Mirko Bibic: Thank you, Vince. It's Mirko. On the first -- well, I'll answer the last two questions first. So yes, the plan is for Ziply Fiber to be the exclusive tenant on the network. And on Fiber and on reaching the additional six million homes. And you asked a question there about the possibility of M&A. Like right now, the focus is closing the Ziply Fiber transaction. And shortly after that, we'll be in a position to close network Fiber Co, which is the strategic partnership. And the focus is going to be to execute on the build plan in that attractive U.S. market. So those are -- I highlight that for a reason, and that's going to be the focus. If down the road, we see we can more efficiently hit build targets through M&A. The goal will be to do so but within the partnership and without intending to veer off of our deleveraging targets that we've expressed to all of you today.
Curtis Millen: Thanks. And then, Vince, the gain on the repurchase. So, while we're able to reduce our debt amount principal amount by over 500, the actual gain is not included in our free cash flow.
Vince Valentini: The $798 million in the first quarter did not include that $300 million, Curtis?
Curtis Millen: Correct. The outperformance is largely working capital and cash tax on it.
Vince Valentini: Okay. I may have to take it offline because I don't see where it's backed out in your numbers, but I'll trust you. Thank you.
Operator: Thank you. Our next question is from Matthew Griffiths from Bank of America. Please go ahead.
Matthew Griffiths: Oh, hi. Thanks for taking the question. On the timing of this -- the PSP kind of network Fiber Co, how should we think about that? I mean, obviously, I know you're focused on closing things first. But is it -- what is the time frame generally for the six million homes passed. And is the $1.5 million -- billion, sorry, contribution from PSP. Is that directly tied to the six million passing number? Or is that just the initial investment and to achieve the six million additional funding is required? Any detail would be helpful in understanding how this all -- how the numbers are presented kind of tied together? And then just quickly on the 25,000 net adds on the main Bell brand. I was curious how that compares year-over-year? Thank you.
Mirko Bibic: Thank you, Matthew. So on -- so it's a long -- the partnership is a long-term partnership through the infra side of PSP, as I mentioned. So the goal will be to get to the six million homes over time. You can't build instantaneously, so that will take time. And the commitment that we expressed in terms of the financial contribution that will be provided over time as we build. So that's the intent there. And as I mentioned, will be providing debt financing at that partnership level as well to help fund that program.
Matthew Griffiths: And then on the Bell brand?
Mirko Bibic: Yes, I was looking for it. So that's why there was a little bit of a stall. So, it's down 9,000 year-over-year.
Matthew Griffiths: Okay. Okay, great. Thank you so much. I appreciate the clarity.
Operator: Thank you. Our next question is from Sebastiano Petti from JPMorgan. Please go ahead.
Sebastiano Petti: Hi, good morning, everyone. Just one quick follow-up on the $1.5 billion. Is that a capital call or a lump sum payment that you'll have to make? And then just following up on Drew's question, just thinking about the delevering profile or the 3.5 net debt to leverage target over time. We're just -- a lot of questions, a lot of inbounds from investors just trying to understand or square the math there. I mean you have $7 billion of asset sales coming through. You have $2 billion of Ziply debt that's coming on. That implies pretty significant delevering, but then it sounds like you're going to be relevering -- so is there a downgrade to free cash flow that we should be thinking about, particularly in light of the dividends, you have $2 million without the dividend payment of cash each year. I'm just trying to square that math there. And then also lastly, on the dividend -- sorry, Curtis, why $1.75? Why did you land there? Thank you.
Mirko Bibic: Okay. So I'll Curtis will answer the free cash flow question, but let me address the other two. Your first question, same essentially what Matthew asked me. So it's going to the contributions to network Fiber co are over time as we build. So it's not a onetime payment. The third question on why $1.75 on that when the Board considered a range of options, as I'm sure you can imagine. And this is the level that the BCE Board believes gives us the flexibility to achieve our capital allocation objectives. And they're on Page 15 of our presentation. So it's optimized the balance sheet, essentially accelerate deleveraging and optimize the cost of capital. the flexibility to invest for growth. It's incumbent on us to continue to grow this franchise and then return, deliver total shareholder returns to our shareholders by being a sustainable dividend-paying company. So that's -- so the range of options that we had considered and taking the input of investors over time, that's the number that the Board felt gave us that flexibility.
Curtis Millen: And then to address your leverage question, Sebastiano. So, the $7 billion of assets is the gross number, but the MLSE proceeds, so the net proceeds from the $4.7 billion sale of LSC are part of the sources and uses to acquire Ziply Fiber.
Sebastiano Petti: Got it. Understood. And then maybe -- so the open access partnership, I guess, I mean, yes, maybe the U.S. is behind in terms of Fiber build-out in the U.S., but relative to Canada. But the U.S. built 10 million Fiber passing last year on pace to build another 10 million over the next several years. We have very long-term, well-capitalized companies chasing additional passing. Just trying to what gives you comfort, I guess, maybe in the greenfield opportunity of getting to that incremental five million that you guys have outlined above and beyond the three that you originally talked about with Ziply. Thank you.
Mirko Bibic: We've done the work and our due diligence on the extent of passings that are there and ready to be built to at a low cost to build. So we've done some extensive due diligence on that. So we are quite comfortable as is the Ziply Fiber team, as you can imagine. And on the first part, you said open access, but I don't know what you meant there, as Vince asked.
Sebastiano Petti: Yes. Sorry, more on the wholesale partnership just -- we're not open a...
Mirko Bibic: The market ship is just to be clear, the partnership is not an open access partnership, just to be clear on that. And then we also will be able to get to those six million homes, which we've kind of, like I said, done extensive work on at an attractive cost of capital given the structure that we've established with PSP. And I'd say PSP is also a very experienced telecom infrastructure investor. And they see the potential here in the U.S. and particularly with Ziply Fiber, which they're already a shareholder of and working with us given our expertise.
Sebastiano Petti: Thank you.
Operator: Thank you. Our next question is from Jerome Dubreuil from Desjardin Securities. Please go ahead.
Jerome Dubreuil: Hey, thank you. Thanks for taking my question. First is on the acceleration of favor deployment. Actually, it looks like an acceleration. I'm not sure the time frame is comparable, and it looks to be significant. So I'm trying to see, what is the rationale behind that? Is it now that your capital structure is in a better place that you can afford to do that? Or maybe are you seeing additional opportunity? And the second one, I mean investors are going to be trying to figure out what the pro forma great cash flow is going to be pro forma, the Infra Co and the acceleration. So any details you can provide? Are you investing more in terms of free cash, net of all the transactions you are announcing this morning?
Mirko Bibic: Thanks, Jerome. So, on the acceleration point, I just want to clarify. So, when we announced Ziply Fiber initially, we indicated that they had a base case build plan to get about three million homes by 2029 and with BCE's scale and resources, we would accelerate that three million homes to 2028. So that doesn't change. We think we'll get to around three million homes by 2028. Two million of those three million -- and most -- and those three million will largely be in the four Pacific Northwest states in which simply Fiber currently operates. What's different here is at close, we'll have 1.5 million of those three million already done. There's another 500,000 copper lines in Ziply Fiber ILEC footprint that we need to upgrade to Fiber by 2028. That will be funded by BCE. The other million homes will be part of the partnership. So it's a different way of getting to the same three million homes in a way that's immediately free cash flow kind of immediately improves the free cash flow profile of BCE by the $1 billion that I mentioned, given the support of PSP. It strengthens and increases our ability to capture that Fiber opportunity. And in terms of the additional five million homes, therefore, those will be tackled over time beyond 2028 with PSP as a world-class financial partner. So therefore, that's going to accelerate Ziply Fibers growth and accelerate and provide it with expanded growth potential, again, in a financially flexible way given that we'd be doing it through the strategic partnership. So all told, we're going to be enhancing the returns associated with the Ziply Fiber investment, not to mention that it's already looking more accretive than in November of 2024 given the management team's performance even since we announced the deal.
Curtis Millen: Then Jerome, just to pile on, you asked a question about the free cash flow. I think one other input. So we had said in November, CapEx pro forma for Ziply would live within the 16.5% CDI envelope, given the partnership with PSP, we expect that's going to be close to 14.5%. And then after Ziply has built out the 500,000 locations within its ILEC footprint, as Mirko mentioned, and we would expect that CDI percentage to drop from there.
Jerome Dubreuil: Thank you.
Operator: Thank you. Our next question is from Patrick Ho from Morgan Stanley. Please go ahead.
Patrick Ho: Hey guys, thanks for having me on. Just two questions for me. The first question is, can you guys talk about how you guys are thinking about the new government's impact on key areas like TPI and immigration. And then the second question I had is you guys upsized your cost savings target goal by $500 million to $1.5 billion. Can you just unpack the various buckets that are within that additional $500 million cost savings? And just where these items come from. Thank you.
Mirko Bibic: I'll take both. On the business transformation, like I said in my remarks, we've been quite successful. On the initiatives we've undertaken since 2022, and that's delivered the $500 million that I've outlined and I've shared before. And that's one of the key drivers that allows us to increase margins across BCE quarter-after-quarter. In terms of the initiatives, just to keep it kind of quick and simple, it's things like automation use of AI, consolidating billing stacks, modernizing ordering stacks, obviously continue on the copper to Fiber migration, self-serve, self-install use of chat bots, virtual agents, including voice. So those are the kinds of things. And we're also actually we're relying in part on the expertise of Ateko, the folks at Ateko to help drive workflow automation and unlocking the value from our sales force in ServiceNow environments. And if you think about it, there are significant learnings there, which we, of course, can bring to the benefit of our enterprise customers as we drive growth through tech services. So, we're both we go to the customers, so we're both an operator because the things we're suggesting our enterprise customers do, we're doing for ourselves through Ateko. So that's the answer on the business transformation and the first one was -- first question. Working with government. So, thank you -- thank you, Richard. We're looking forward to having constructive dialogue with the new federal government and top of the list in terms of topics would be the Fiber resale file I think comes down to this. We celebrated our 145 birthday just last week and for 145 years, we've been building critical infrastructure in Canada or Canadians to connect Canadians and that allows Canada to grow, right? Because if you think about the networks that our industry provides, you need it for everything from AI to cloud services to bank game, to connecting with your loved ones to entertaining yourself everything. And so we want to continue to do that, in order to continue to do that at levels which we've been doing it, you do need ultimately an environment that encourages investment and allowing the largest players in the market to resell services on each other's networks is actually a direct this incentive to investment. And it's going to undermine the goal to have more resiliency and connect more Canadians, particularly in rural Canada. So very kind of intent to take a very constructive approach and it's a logical position we have. and we're looking forward to the dialogue.
Patrick Ho: Thank you.
Operator: Thank you. Our next question is from Aravinda Galappatthige from Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my question. Start with the follow-up. I just wanted to make sure I heard you correctly. So the CapEx intensity ratio beyond 2025, it sounds like basically, you will not exceed 49.5%. That would be sort of the new high point. I just wanted to confirm that. And secondly, based on sort of the business transformation cost reductions that you talked about with respect to severance restructuring cash cost, I think it was $330 million last year, how should we -- should that kind of be sort of the standard for the next sort of next couple of years, I wanted to confirm that as well.
Curtis Millen: So thanks, Arvind, for the question. Yes, I think 14.5% is the right range. I don't know if it's quite under 14.5%, but it's in and around 14.5%. Obviously, it depends a little bit on how fast we're driving subscriber growth and demand CapEx that comes along with that. But in the 14.5% range is a good estimate. And in terms of the cost reductions and cost to actually capture those -- I would say these past couple of years have been higher on the onetime costs. There's still going to be some costs going forward to be able to capture benefits of transformation, but I would expect the cost to be going down over time as it's more and more process improvement as well.
Aravinda Galappatthige: Okay, thank you. I'll pass the line.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting over to Mr. Bengian.
Richard Bengian: Thanks again for your participation on the call this morning. As usual, I will be available throughout the day for follow-up questions or clarifications. Thanks, and have a great day.
Mirko Bibic: Thanks, everyone.
Curtis Millen: Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.